Operator: Good day, and welcome to the Star Group Fiscal 2025 Fourth Quarter Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Chris Witty, Investor Relations Adviser. Please go ahead.
Chris Witty: Thank you, and good morning. With me on the call today are Jeff Woosnam, President and Chief Executive Officer; and Rich Ambury, Chief Financial Officer. I would now like to provide a brief safe harbor statement. This conference call may include forward-looking statements that represent the company's expectations and beliefs concerning future events that involve risks and uncertainties and may cause the company's actual performance to be materially different from the performance indicated or implied by such statements. All statements other than statements of historical facts included in this conference call are forward-looking statements. Although the company believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to have been correct. Important factors that could cause actual results to differ materially from the company's expectations are disclosed in this conference call, the company's annual report on Form 10-K for the fiscal year ended September 30, 2025, and the company's other filings with the SEC. All subsequent written and oral forward-looking statements attributable to the company or persons acting on its behalf are expressly qualified in their entirety by the cautionary statements. Unless otherwise required by law, the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise after the date of this conference call. I'd now like to turn the call over to Jeff Woosnam. Jeff?
Jeffrey Woosnam: Thanks, Chris, and good morning, everyone. Thank you for joining our fourth quarter conference call. It's an exciting time for us as we conclude another fiscal year and begin a new heating season. As we close out 2025, it's a great opportunity to reflect on Star's performance over the past 12 months. Most notably, temperatures were 8% warmer than normal this year, but 8% colder than in fiscal 2024. The lower temperatures coupled with recent acquisitions resulted in a 29 million gallon or 12% year-over-year increase in heating oil and propane volume. At the same time, we kept overhead expenses largely in check, maintained disciplined margin management and continued to invest in installation and service as a complementary service offering, which posted revenue growth of over -- of nearly 10% over fiscal 2024. The resulting bottom line impact on these efforts, along with cooler temperatures, fueled a year-over-year increase in adjusted EBITDA of $24.8 million or 22.2%. While net customer attrition rose modestly, we believe we are taking the necessary steps to manage through this with our ongoing focus on customer service across our operating footprint. Our internal customer satisfaction indicators and loss rates continue to improve, although we observed a lower level of overall real estate activity in the marketplace, which in part impacted new customer additions. Our acquisition program remains an important component of our overall business strategy. And in total, we completed 4 separate transactions during fiscal 2025, adding just under 12 million gallons of heating oil and propane volume annually. We continue to have many additional opportunities in various stages of review. In terms of overall capital allocation, in fiscal 2025, we invested approximately $81 million towards acquisitions and $16 million in unit repurchases and paid $26 million in distributions. We believe all of these activities serve to increase shareholder value. A recap of our results would not be complete without mentioning how proud I am of our talented team of employees who have not only supported but taken genuine ownership in effectively executing our strategy of differentiating Star from the competition through providing outstanding service and value to our customers. We are steadfast in our mission to grow and diversify the company by continuing to make both heating oil and propane acquisitions, keeping net attrition as low as possible and maximizing installation and service profitability over time. We look forward to taking advantage of further opportunities to improve the organization and its performance in fiscal 2026. So with that, I'll turn the call over to Rich to provide additional comments on the quarter and year-end results. Rich?
Richard Ambury: Thanks, Jeff, and good morning, everyone. For the fourth quarter, our home heating oil and propane volume increased by 1.5 million gallons or 8% to 20 million gallons as the additional volume provided from acquisitions more than offset net customer attrition and other factors. Our product gross profit increased by $2.5 million or 6% to $45 million as the positive impact from higher home heating oil and propane volume was only offset by slightly lower per gallon margins, driven in part by the mix of volume associated with recent acquisitions. Delivery, branch and G&A expenses increased by $5 million year-over-year, largely reflecting the additional operating costs attributable to acquisitions of $4.2 million. Operating costs in the base business rose by just $800,000 or less than 1%. Depreciation and amortization rose by $1.3 million and net interest expense increased by $1.4 million year-over-year. These changes were largely attributable to the impact from recent acquisitions. We posted a net loss of $28.7 million in the fourth quarter of fiscal 2025 or $6.4 million less than the prior year period, reflecting a noncash favorable change in the fair value of derivative instruments of $12.2 million and a $3.8 million benefit from the sale of certain real estate. The impacts of these positive items were largely offset by a $3.6 million lower income tax benefit, a $3.3 million increase in our adjusted EBITDA loss, again, higher depreciation and amortization expense and higher acquisition-related financing costs, along with other factors. The adjusted EBITDA loss for the fourth quarter increased by $3.3 million to $33 million as the impact from an increase in volumes sold was more than offset by slightly lower home heating oil and propane per gallon margins and an increase in operating expenses of $5 million, again, of which $4.2 million was due to recent acquisitions. Now turning to the results of fiscal 2025. Our home heating oil and propane volume increased by 29 million gallons or 12% to 283 million gallons, again, reflecting colder temperatures and the additional volume provided from acquisitions more than offsetting net customer attrition and other factors. Temperatures in Star's geographic areas of operations for the full year were 8% colder than the prior year period, but 8% warmer than normal. Our product gross profit rose by $57 million or 12% to $525 million due to an increase in home heating oil and propane volumes sold and higher home heating oil and propane per gallon margins and a slight increase in gross profit from other petroleum products. In addition, as previously mentioned on prior calls, we've improved our service and installation profitability, which contributed to an increase in gross profit of $3.8 million year-to-date. Delivery, branch and G&A expenses rose by $36.6 million, of which $10.6 million was attributable to our weather hedging program. As a reminder, in fiscal 2025, we recorded an expense of $3.1 million under our weather hedges compared to a benefit of $7.5 million recorded in fiscal 2024, reflecting weather conditions in both periods. Aside from this, recent acquisitions accounted for an increase in expenses of $23 million year-over-year, while related costs in the base business rose again by just $3 million or 0.8%. Depreciation and amortization rose by $3.9 million and net interest expense increased by $2.8 million. These changes again were largely attributable to the impact from recent acquisitions. We posted net income of $73.5 million for fiscal 2025 or $38.2 million higher in the prior year period largely due to an increase in adjusted EBITDA of $24.8 million and a noncash favorable change in the fair value of derivative instruments of $32 million, which more than offset higher income tax expense of $16 million and other factors. Adjusted EBITDA rose by $24.8 million to $136.4 million, reflecting an $18.5 million increase in adjusted EBITDA in the base business and $17 million increase in adjusted EBITDA from recent acquisitions, partially offset by a $10.6 million change in expenses relating to the company's weather hedge contracts. And with that, I'll turn the call back to Jeff.
Jeffrey Woosnam: Thanks, Rich. At this time, we'd be pleased to address any questions you may have. Chloe, can you please open the phone lines for questions?
Operator: [Operator Instructions] The first question comes from Tim Mullen with Laurelton Management.
Timothy Mullen: I was just curious if you guys could share any thoughts on the regulatory environment, specifically in New York? And what impact in the years ahead do you think it could have on Star Gas, things like the fossil fuel ban and some of the other regulatory items.
Jeffrey Woosnam: It's really just very difficult for us to try to predict how that regulatory environment is going to impact us as a business. And a lot of that is still in flux and some of those plans are still trying to being determined. So again, it just -- it's really difficult to comment on how that might impact us going forward.
Operator: [Operator Instructions] The next question comes from Michael Prouting with 10K Capital.
Michael Prouting: Jeff, on the customer attrition, I just happened to notice -- so looking just at the fourth quarter, that looked like customer gains were down, customer losses were up. And then also, if you just look at the last few years, if you look at the net attrition for the year, it does seem like things are trending in the wrong direction. Was there anything specifically you think that affected attrition in the fourth quarter? And what are your thoughts about attrition going forward for the coming year?
Jeffrey Woosnam: We're just generally seeing a low level of prospect activity in the marketplace, Michael. I would say for the full year because some of this is timing, but certainly for the full year, the encouraging part of it is that you can see that our loss rates as a percentage of our customer base are down and continue to come down each year, and I think they are really at historical low points. And all of our -- as I've mentioned, all of our customer with internal customer satisfaction indexes are pointing in the right direction. So the overall impact of that is it's lower churn on the business. The challenge has been new customer gains. And that's something we're constantly reviewing. There's -- in part, as I mentioned in my remarks, we've seen a lower level of activity -- real estate activity, which just takes fewer prospects out of the market. And I would also note that while fiscal '25 was colder than '24, it was still 8% warmer than normal, and we really didn't have a lot of disruptive weather in that period, which tends to attract prospects to our high-quality brands. So we're just constantly reviewing our sales and marketing structure and activities and to attract more customers to our brands.
Michael Prouting: Okay. And then I had just actually 2 other questions. Jeff, one for you on the acquisition front. I just wanted to get your color on how the pipeline looks at this point and whether you see the effect of any significantly large deals? And I also had a question for Rich. So in terms of free cash flow, the K was not filed last night, although I have been going through it this morning. But I did happen to notice that free cash flow was lower than I would have expected in the fourth quarter. And it looks like that could be attributed to a combination of working capital tied up in receivables and inventory. And I was just wondering, especially with the inventory, if there was anything there like you guys got a really good deal on heating oil or just what it might have driven the lower-than-expected free cash flow in the quarter?
Jeffrey Woosnam: Sure. Related to acquisitions, our pipeline is -- it remains active. We have a number of different opportunities currently under review. Nothing significantly sizable, several tuck-in opportunities, some smaller standalones, but we'll have to see how all of that kind of transpires and comes to fruition. But I'm very pleased with just the overall level of activities and transactions that we've been able to complete this past year. And really, when you think about it, 4 quality deals in 2025 and 4 in '24. So 9 completed acquisitions that we're very proud of over the last 2 years. But hopefully, we can continue that trend.
Richard Ambury: Yes, if you look at our receivables, I think we have the same -- relatively same day sales outstanding this year versus last year on our accounts receivable. I don't really see any big difference between our free cash flow this year versus last year. We're paying the same taxes. EBITDA was $3.3 million less this year versus last year. Interest is up a little bit. The timing of income taxes could be possibly impacting free cash flow. But it all depends, too, on the timing of some inventory coming in, barges this year versus last year. And the way the cash flows work, it's a change versus the change in the prior year, but I don't see anything really impacting free cash flow or leading to possibly a distributable cash flow calculation because interest expense is up a little bit. Our cash taxes are not really all that much different. And interest expense is up a bit as well. And we didn't have any tremendous fourth quarter capital purchases this year versus last year, Michael.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Jeff Woosnam, CEO, for any closing remarks.
Jeffrey Woosnam: Well, thank you for taking the time to join us today and your ongoing interest in Star Group. We look forward to sharing our 2026 fiscal first quarter results in February. Happy holidays, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.